Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.: 
Operator: 00:03 Thanks for joining us today for GitLab's Third Quarter twenty twenty two Financial Results. Today, GitLab's Co-Founder and CEO, Sid Sijbrandij; and GitLab's Chief Financial Officer, Brian Robins will provide commentary on the quarter. Please note, we will be opening up the call for panelists' questions. To ask a question, please use the chat feature. Post your question directly to the IR chat channel using the drop-down menu. 00:29 With that, I'll turn the call over to Taylor Giles of The Blueshirt Group to cover the Safe Harbor.
Taylor Giles: 00:35 Thank you, Kevin. Before we begin, during this conference call, we may make forward-looking statements within the meaning of the Federal Securities laws. These statements involve assumptions and are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those discussed or anticipated. For a complete discussion of risks associated with these forward-looking statements in our business, we encourage you to refer to our earnings release distributed today and our SEC filings, including our Quarterly Report on Form 10-Q for the fiscal quarter which ended, October thirty one, twenty twenty one. 01:16 Our forward-looking statements are based upon information currently available to us. We caution you not to place undue reliance on forward-looking statements and we do not undertake any duty or obligation to update or release any revisions to any forward-looking statements or to report any future events or circumstances, or to reflect the occurrence of unanticipated events. 01:40 In addition, during this call, certain financial performance measures may be discussed that differ from comparable measures contained in our financial statements prepared in accordance with US Generally Accepted Accounting Principles, referred to by the Securities and Exchange Commission as non-GAAP financial measures. These non-GAAP measures are not intended to be a substitute for our GAAP results. We believe these non-GAAP financial measures assist management and investors in evaluating our performance and comparing period-to-period results of operations as discussed in greater detail in the supplemental schedules to our earnings release. A reconciliation of these non-GAAP measures to the most comparable GAAP financial measures is included in our earnings press release submitted to the SEC. These reconciliations together with additional supplemental information are available at the Investor Relations section of our website. A replay of today's call will also be posted on the website. 02:41 I will now turn the call over to GitLab's Co-Founder and Chief Executive Officer, Sid Sijbrandij.
Sid Sijbrandij: 02:49 Thank you for joining us for our first quarterly earnings call as a public company. We had a great quarter and we're excited to share today we exceeded our own expectations for the third quarter of fiscal year twenty twenty two with revenue of sixty six point eight million dollars. This represents revenue growth of fifty eight percent year-over-year this quarter. Our dollar based net retention rate was above one thirty percent, reflecting the significant return on investment that GitLab provides to our customers. 03:22 As we look forward, we are seeing continued strong momentum for customers adopting The DevOps Platform and we feel we are still early in a large and growing market. 03:34 I want to take a moment to express my gratitude to our investors, customers, the wider community and team members. We are excited to share more details with you about the quarter and our overall business, but first I want to reflect on our initial public offering. I believe we are the first all-remote and most transparent company to go public. Our value of transparency has been prevalent as we've scaled the business. One example of this transparency is our publicly accessible Handbook, which is more than two thousand webpages documenting how we run GitLab. 04:11 Another example of our transparency took place on listing date, October fourteen, twenty twenty one. GitLab was the first company to publicly stream its entire end-to-end listing Day at NASDAQ. You can watch the recording of the live stream by searching GitLab History. 04:30 While our IPO was a major milestone for GitLab, it was one of the many important steps in the evolution of the company. Because this is our first earnings call, I thought it might be helpful to go over the history of DevOps. I'll explain the value that GitLab provides and tell you about the large market opportunity with and during tailwinds that we believe we have in front of us. 04:57 In a world where software defines the speed of innovation, we believe every company has to be great at developing, securing and operating software. We also believe that to remain competitive, organizations in every industry must digitally transform. This represents a dramatically different approach to software development and operations, known as DevOps. DevOps is a set of practices that allow development, security and operation teams to collaborate and work together to shorten the software development lifecycle, typically from months to hours. 05:37 As DevOps adoption increases, the tools rate continue to evolve. I'll explain the evolution of DevOps tool sets in four phases. The first phase was bring your own DevOps, where each team selected their own tools, which caused problems when teams try to work together. This was because each team was not familiar with the tools of the other teams. 06:00 The second phase was best-in-class DevOps, where organizations standardized on the same set of tools, but struggled to quickly move software changes through the tools. So teams move to a third phase, which required doing a set of custom work to indicate DevOps point solutions together in a do-it-yourself DevOps solution. In this phase tools were not designed to use the same concepts, so they never fit quite right and were hard to maintain. 06:31 I believe the true potential of DevOps was not fully realized in any of these phases. A single platform approach is needed to improve the team experience and to improve business efficiency. GitLab the DevOps Platform is the fourth phase of this evolution, replacing DIY DevOps and allowing for visibility and control over all stages of the DevOps lifecycle. 06:57 According to Gartner, by twenty twenty four, sixty percent of organizations will have switched to a DevOps value stream delivery platform to streamline application delivery versus twenty percent in twenty twenty one. Based on our own calculations and as we mentioned during our IPO, we believe we have a forty billion dollars market opportunity for our DevOps platform. 07:25 GitLab as The DevOps platform allows teams to collaboratively and efficiently plan, build, secure and deploy software in one application. With one user interface and a unified data model, teams get across development, security and operations can use GitLab for every stage of the software development lifecycle. 07:47 GitLab replaces the need for teams to switch between tools, allowing companies to cut their complex point solution tool chain. We believe our single application helps companies to deliver software faster, improve organizational efficiency and reduce security and compliance risks. 08:08 The DevOps Platform also enables our customers to manage and secure their entire DevOps workflow across any hybrid or multi-cloud environments. This enables our customers to select the best cloud provider for their applications, and it allows our customers to avoid vendor locking and over-reliance on a single cloud vendor. We believe this provides us with a competitive advantage to help empower our customers to embrace the full benefits of a multi-cloud strategy. 08:42 In twenty twenty, Gartner created a new market category for DevOps tools called the value stream delivery platforms. GitLab's position as the pioneer in the market of DevOps platforms is evidenced by the fact that in October twenty twenty one Gartner listed GitLab as a representative vendor for their market guide for value stream delivery platforms for the second year in a row. 09:06 At GitLab, we prioritize and are extremely effective in improving the platform. We have a dual flywheel development strategy that leverages both our research and development group and our open core community. By leveraging the power of each, we create a cycle where more contributions will lead to more features, which leads to more users, leading back to more contributions. 09:30 As an example of this innovation, in the third quarter, we introduced over one hundred new features. A few of our top new features are GitLab Operator, which enables customers to standardize their deployment and manage the full lifecycle of GitLab on Kubernetes-based platforms, including Red Hat, OpenShift. In addition, this feature lays the foundation for automating common tasks, which we believe ultimately reduces the total cost of ownership. 10:02 Another new feature is GitLab's proprietary next-generation static application security testing engine. This new engine was built in-house to enable customers to detect and eliminate security risks faster than before. We also released improvements to the [Wiki] (ph) experience with the new what you see is what you get markdown attitude. This rapid increase in features in The DevOps Platform enables customers to use GitLab for more tasks, replace more point solutions and achieve a faster cycle time. 10:36 The DevOps Platform delivers positive business outcomes for very wide range of customers from single users to tens of thousands of users, from small organizations to Fortune 500 companies. GitLab's wider community is spread across every geography and across a wide number of verticals, including the public sector. Most people start using GitLab with our industry-leading source control and testing functionality. After they started using GitLab, customers often expand their usage in their platform, realizing that they no longer need the custom tool chain with individual point solutions. 11:18 I'm proud to share that in the third quarter, we added four hundred and twenty five base customers, some of the new and expand logos include Suzuki Motor Corporation, Smartsheet and Lockheed Martin. Let me give you a few examples of expansion at auto companies. In Q3 we had many expansions with our public sector clients. We continue to play a critical role for our government contractors supporting in military program. The contractor migrated two thousand users to a single integrated DevSecOps environment. 11:56 Another key license expansion was with one of the largest logistics e-commerce and business services companies in the world. They continue to expand enterprise modernization initiatives with GitLab in Q3. This expansion of GitLab DevOps Platform reduced development cycle time from ideas to release and accelerated their data center consolidation efforts. 12:21 I'd like to highlight another expansion from a major telecommunications customer. The customer added more development teams to GitLab, which further simplifies their tool chain infrastructure. The team was able to reduce their complete data center deploy process to under eight hours and because of that streamlined deploy and build process, they enabled using GitLab. I believe that a platform solution that integrates security is the future. 12:50 In today's threat landscape, you need to secure one hundred percent of your applications one hundred percent of the time. We believe that the only practical way to do that is to integrate security into the platform and GitLab's DevOps Platform does this. 13:09 In Q3, we also welcomed our newest Board member, Sunny Bedi. Sunny is the Chief Information Officer and Chief Data Officer at Snowflake and we're very pleased to welcome him to the GitLab Board of Directors. On November ten, we shared that my Co-Founder and the Creator of GitLab, Dmitriy Zaporozhets made the decision to leave his position as Engineering Fellow after completing his personal commitment of ten years to GitLab. I'm excited to continue to lead GitLab and build on what we created. I would like to thank Dmitriy for all of his contributions. 13:43 And I will now turn the call over to Brian Robins, GitLab's Chief Financial Officer.
Brian Robins: 13:48 Thank you, Sid, and thank you again to everyone for joining us today. I will quickly recap our third quarter financial results and key operating metrics and then conclude with our guidance. 13:59 Before I dive into the quarter, I'll give a brief overview of our go-to-market strategy and our business model. In today's innovative world, we believe that every company must become a software company or they will be disrupted by a software company. GitLab goes to the market with a proven land and expand model to help organizations modernize their DevOps. Because customers often come to us seeking to address their most immediate needs and for the best developer experience. We have seen viral adoption and expansion of our platform. This is evidenced by our best-in-class dollar-based net retention that has consistently been over one thirty percent. 14:38 Our platform is offered with a free version and two paid subscriptions tiers, Premium and Ultimate, which are priced per user and based on the features available within those plans. The free version and both the paid subscription tiers are available as a SaaS and self-managed offering. Ultimate continues to be our fastest growing plan. Going forward, we expect our SaaS offering, which is recognized ratably to become a larger portion of our business. Our self-managed offering has both ratable and upfront revenue recognition, including a license component which is usually less than ten percent of the contract value and is recognized upfront. Post contract support, which is usually about ninety percent of the contract value is recognized ratably and over the contract period. 15:24 Our contract terms are typically annual deals with cash collected upfront. Historically, we have had some multi-year contracts where multiple years were invoiced upfront. However, we expect the vast majority of our multi-year deals going forward will be invoiced annually. 15:39 Now, let me turn to the quarter. Revenue of sixty six point eight million dollars was up fifty eight percent from the prior year. As of quarter end, we had over four thousand customers with ARR of at least five thousand dollars, up from over three thousand six hundred and over two thousand four hundred customers compared to the prior quarter and year, respectively. Current customers with greater than five thousand dollars in ARR represent approximately ninety five percent of our ARR. 16:07 We also measure the performance and growth of our largest customers who we define as those spending more than one hundred thousand dollars in ARR with us. For the quarter, we had over four twenty customers with ARR of at least one hundred thousand, up from over three eighty and over two forty customers compared to the prior quarter and year, respectively. For both our five thousand dollars and one hundred thousand dollars customers, I think it is important to note that we have already well exceeded the number of new customers we've added to our platform compared to FY twenty twenty one and over FY twenty twenty. We think this is due to the increased market demand for DevOps platforms and business imperative to become better at DevOps. 16:50 As many of you know, we do not believe calculated billings to be a good indicator of our business. This quarter was an excellent example of this as we saw strong revenue growth and even higher ARR growth. Calculated billings year-over-year grows like both ARR and revenue growth due to the prior period being impacted by a number of factors, most notably our history of large prepaid multi-year deals. 17:15 Non-GAAP gross margin was eighty nine point seven percent for the quarter, which compares to eighty eight percent in the immediate preceding quarter and eighty nine point two percent for the third quarter last year. As we move forward, we are estimating a moderate decline in this metric due to the rapid growth rate of our SaaS offering year-over-year, which remains above one hundred percent. 17:38 We saw improved operating leverage across the business this quarter. Non-GAAP operating loss of twenty three point nine million dollars or thirty five point seven percent of revenue compared to a loss of twenty two point three million dollars or fifty two point nine percent of revenue in Q3 of the last fiscal year. The main factors contributing this were higher revenue and lower-than-expected team member growth during the quarter. We anticipate hiring to accelerate in the fourth quarter and into FY twenty twenty three to support the growth in our business. 18:11 Operating cash used was ten point one million dollars in the quarter compared to fourteen point one million dollars used in the same quarter last year. We performed well during the quarter and believe our business is set up for continued strength. As Sid mentioned earlier, we believe we have a very substantial market opportunity as is relatively underpenetrated and we're well positioned to capture an outside portion of it. 18:34 Turning to guidance. For the fourth quarter of FY twenty twenty two, we expect total revenue of sixty nine point five million dollars to seventh point five million dollars, representing a growth rate of fifty one percent to fifty three percent year-over-year. We expect the non-GAAP operating loss of thirty three million dollars to thirty two million dollars and we expect a non-GAAP net loss per share of zero point two six dollar to zero point two five dollars assuming one forty four million dollars weighted average share is outstanding. 19:02 Let's turn to the full year FY twenty twenty two. We now expect total revenue of two hundred and forty four million dollars to two hundred and forty five million dollars, representing a growth rate of sixty percent to sixty one percent year-over-year. We expect the non-GAAP operating loss of one hundred and four million dollars to one hundred and three million dollars and we expect the non-GAAP net loss per share of one point four three dollar to one point four two dollars, assuming eight million dollars weighted average shares outstanding. 19:30 With that, we will now move to Q&A. To ask a question, please use the chat feature and post your question directly to IR questions. Operator, we're ready for the first question.
Operator: 19:43 19:44 Our first question should be coming from Kash Rangan.
Kash Rangan: 19:49 Hi. Thank you very much, and congratulations on the first quarter as a public company. Sid, I'm curious if you could give us an update on your perspective in a post-pandemic world, if that were to ever happen, how does software development and release cycle changes? It became faster or about the same? And also if you could just give us a quick commentary on the competitive landscape, any interesting displacements that you did that put you on the strategic roadmap for large Fortune 500 corporations? Thank you so much, and congrats again.
Sid Sijbrandij: 20:21 Yes. Thanks, Kash. I appreciate it. We continue to see strong demand for The DevOps Platform and compared to a quarter ago we saw that the labor market for developer, security experts and operators got tighter. So we believe that with GitLab customers can get more done with the people they have, and right now they're really struggling to hire more people. For example, at T-Mobile, they increased their delivery frequency by ten times due to GitLab, so ten times more frequent updates to their software and we believe we're still early and what we believe is a massive market with untapped potential.
Kash Rangan: 20:59 Right. And the comment on any competitive displacements or any changes in the competitive arena where you are poised to take more share relative to the competition? Thank you so much.
Sid Sijbrandij: 21:09 Yes. We -- it's still the case that we're competing with DIY DevOps. According to the latest Gartner numbers that came out in October, they see the adoption of DevOps platforms being at twenty percent right now. They see that grown to sixty percent by twenty twenty four, but right now it's all about customers replacing their point solutions with a platform and convincing them that that is the way forward.
Kash Rangan: 21:39 Brilliant. Thank you so much. Happy Holidays.
Sid Sijbrandij: 21:42 You too. Thanks, Kash.
Operator: 21:45 Next up, we will move to Sterling Auty.
Sterling Auty: 21:48 Yes. Thanks. Hi, guys. So you had mentioned the different pricing tiers that you've got. I'm curious what you saw in terms of -- in the quarter, what -- any additional shift that you might have seen towards that Ultimate tier and any impact on the business?
Sid Sijbrandij: 22:05 Thanks, Sterling. Ultimate continues to be our fastest growing tier, that more than doubling year-over-year. As we continue to drive business outcomes to these customers, let's say, in the increased ROI. And so we're really happy with the growth in Ultimate.
Sterling Auty: 22:20 And then one follow-up also and kind of about our metrics, when you look at to get over seventy percent growth in customers spending over one hundred thousand dollars with you, can you give us a sense, is that just those customers existing adding more developers? Is it a shift to Ultimate? Is it brand new customers, what's kind of the mix or makeup of the growth in that top tier for you?
Sid Sijbrandij: 22:43 So in the customers, we see the majority of it from existing customers adopting more users and then second is up tiring.
Sterling Auty: 22:54 Got it. Thank you.
Sid Sijbrandij: 22:56 Thank you.
Operator: 22:59 Next up, we have a question from Rob Owens.
Rob Owens: 23:02 Great. Good afternoon, and thanks for taking my question. I'd love to dovetail Sterling's question a little bit and understand just how you're landing with customers, are you landing larger at this point? And are you landing broader with customers in terms of that use case than more of the platform proposition? Thanks.
Sid Sijbrandij: 23:21 Thanks, Rob. We're continuing to see bigger land as well as more expansion. On the land side we are landing larger, average new ARR for new lands had a meaningful year-over-year increase and on the expand side, we're really happy with our expansion. Our net dollar retention continues to be in excess of one thirty percent which is best in class. It's driven more by -- it's driven by new users as well as up tiring ultimate and then also we don't see many people leaving, so we don't really have contraction or loss of customers.
Rob Owens: 23:58 And relative to that mix of Ultimate then, are you landing more often with Ultimate say than you were a year ago at this point?
Brian Robins: 24:05 Yes. We -- Ultimate is continuing to grow faster and we're landing more with Ultimate and then we're also seeing of up-tier to Ultimate.
Rob Owens: 24:12 Thank you much, Brian.
Brian Robins: 24:13 Yup. Thanks, Rob.
Operator: 24:16 Next up, we have a question from Joel Fishbein.
Joel Fishbein: 24:19 Hey, congrats on the quarter, gentlemen. And I just have a quick follow-up to Rob's question. Brian, where are you in terms of sales productivity and also building up the enterprise sales force, that would be helpful?
Brian Robins: 24:33 Yes, Joel. We believe the productivity remains healthy and continues to get better. We currently can anticipate continue to build sales team in all market segments. And so we're adding an enterprise at a mid-market and some in S&P as well. And so we add -- this quarter, we added a number of new salespeople and happy with their productivity.
Joel Fishbein: 24:58 Great. Thank you.
Operator: 25:02 Moving on now to Koji Ikeda.
Koji Ikeda: 25:06 Hey, Sid. Hey, Brian. Congrats on a nice first quarter and your IPO. I was wondering if you could tell us how your conversations may have changed or evolved over the past year with your customers and prospects and their thinking with letting developers being able to choose their own DevOps tools, maybe for speeder or familiarity maybe versus taking a more standardization approach from the top down. What typically is the catalyst that drives more of a top-down standardization strategy?
Sid Sijbrandij: 25:33 Yes. Thanks for that question. So what companies are seeing is that integration efforts are growing. They have more and more DevOps tools and at the same time the number of projects that they have within the company is growing at the same time. So to get it that's causing an exponential increase in [indiscernible] protect tools integrations and that effort is becoming unsustainable. And that's why they're going towards The DevOps Platform. 26:01 Think of it as -- as you get more electronics, you had a Walkman, you had a camera, you had a flashlight; as more and more electronics became available, you were carrying more and more things with you. It wasn't sustainable, no one's going to carry around a belt with all these things. You want an iPhone. You want something that integrates all of that in a single device.
Koji Ikeda: 26:21 Got it. Thanks. And then maybe just one quick follow-up for Brian. I think in your prepared remarks, you mentioned something about lower-than-expected team growth. Just wanted to double-click on that a little bit. Can you walk us through that comment? Was this because you were maybe a bit front-loaded last year, maybe at the beginning of this year and this is a pause year or is there anything else we should be aware of there? Thank you.
Brian Robins: 26:42 Yeah. Thanks for the question. We just wanted to point that out. When Sid and I were on the road, we talked about the number one objective was growth, but we do that responsibly. We added more team members this quarter than any of the last six quarters. And so we did have a big quarter vetted in team members, but we had it less anticipated and so that fell to the bottom line. We'll look at reinvesting that back in the business when we can.
Koji Ikeda: 27:07 Got it. Thanks, Brian. Thanks, guys. Appreciate it.
Brian Robins: 27:09 Thank you.
Operator: 27:12 Moving on now to a question, I believe, from Jeff Hickey.
Jeff Hickey: 27:15 Hi, guys. Thanks take some on for Karl. The first question I have is, how do you think about the broader opportunity with you have over thirty million registered users, the numbers out there around the estimated number of professional developers, but the opportunity you have is much broader outside of maybe more technical audience. So the first part would be, how do you think about that moving forward as you move away from just use cases primarily focused on source code management?
Brian Robins: 27:44 Thanks, Jeff. We think that the broader opportunity is enormous. If you look at us today combined with GitHub, we think, combined we're less than three percent. It's a forty billion dollar TAM and we're just getting started. So we're really early in the market. Every company has to become a software company or you're going to lose and we're helping software companies -- we're helping companies make software better, faster and more secure and the ROIs that we're driving in the business outcomes are extremely positive. So we're really excited about the opportunity in front of us.
Jeff Hickey: 28:20 Got it. And then one quick follow-up would be on just the billings growth. I think you guys were lapping a big deal or something in Q3 last year. Could you elaborate more on that? And is billings a metric we should really focus on going forward or do you expect it to be volatile?
Brian Robins: 28:37 Yes, billings is a little choppy and so we tried to steer people away from billings when we're on the road, in particular short term billings is a little lower this quarter. But if you remove professional services and true ups and then the billing from one of the largest deals in company history last quarter, the growth rate is consistent from the last couple of quarters. When you see our 10-Q, RPO grew seventy percent year-over-year and our ARR growth for 3Q exceeded that.
Jeff Hickey: 29:10 Got it. Thank you.
Operator: 29:13 Matt Hedberg has our next question.
Matt Hedberg: 29:16 Hi, guys. Thanks for taking my questions. I think, Brian you mentioned SaaS is growing north of one hundred percent, is it continues to increase in the mix? Does that open up new ways for you to leverage data to make the platform even more robust, maybe it's even from a customer benchmarking perspective?
Sid Sijbrandij: 29:35 Yes. I'll take that question if you don't mind, Matt. It's a great question and it does, it does open up new possibilities. You mentioned benchmarking. Another thing is that we can train ML models that accelerates cycle time. For example, figure out who to assign something to. And also we can make more relevant suggestions to embrace new GitLab functionality. And these improvements don't just benefit our SaaS customers, we can frequently reuse them to also benefit our self-managed customers.
Matt Hedberg: 30:06 That is super exciting considering the growth in that product. And then my second question, on the security side, I think we're all aware of the DevSecOps movements and sort of shift left. When you think about where you can take your security portfolio longer term, how do you think about that beyond sort of releasing package today?
Sid Sijbrandij: 30:26 Yeah. Thanks for that. We are really bullish on what we already have. Our Secure Stage is the most complete offering in the market, that's static analysis, secret detection, code quality, dynamic analysis, API security, first testing, dependency scanning, license compliant and vulnerability management. We anticipate that we'll be further expanding into Protect Stage. In that stage, we already offer basic versions of container scanning, security orchestration, container whole security and container network security.
Matt Hedberg: 30:59 Well done, guys.
Brian Robins: 31:01 Thank you.
Sid Sijbrandij: 31:02 Thank you. Operator 31:03 And a question now from Derrick Wood.
Derrick Wood: 31:06 Great. Thanks. And I'll echo my congrats. First one for Sid. I mean given the trend of companies wanting to buy a DevOps Platform, how do you think about selling more bundles out of the gate, like create and verify, sold as an initial sale out of the gate, is that something we could see more of or is it still going to be a motion of landing in one area and then expanding from there?
Sid Sijbrandij: 31:33 Yes. Thanks for that question. And what's important to know about our pricing model is that every tier includes every stage. So even in our free tier, you get all the stages of GitLab. We charge for functionality on top of that. If that functionality is aimed at an executive, it will be in our Ultimate tier. 31:52 If you look at how customers adopt it, it's a gradual process. It's not possible to rip and replace. This DevOps process is so core to what customers do, it's really hard to change everything day one. If you look at the Forrester study we released together, you find that customers replace three-point solutions in the first year, in the second year and then the third year, a linear pace of adoption. So customers can keep growing with GitLab for a very, very long time.
Derrick Wood: 32:23 That is helpful. And, Brian, you're modeling pretty minimal deceleration in growth in Q4. So I guess a couple of questions. I mean you alluded to the -- why there was a tough comp in Q3, does that more normalize in Q4? Is there anything else to think about it? And then, I think you guys have a decent amount of government business, can you remind us what government seasonality is in Q3 and is there some seasonal downtick in Q4? Just kind of flush out the second half seasonal motions.
Brian Robins: 33:00 Absolutely. Thanks for the question. Derrick from a public perspective 3Q is the biggest quarter for them, and so, it be lighter for us in 4Q. And then on the velocity or the acceleration in growth, really the reference there was to the billings number, the billing scheme and the calculated total billings year-over-year and calculated current billings year-over-year growth was lower and so wanted to explain the normalization on that. And then on the revenue growth, fifty eight percent this quarter, we guided full year at the implied growth rate of sixty percent to sixty one percent.
Derrick Wood: 33:42 Helpful. Got it. Thank you.
Sid Sijbrandij: 33:44 Yep. Thank you.
Operator: 33:46 All right. Moving on to Michael Turits.
Michael Turits: 33:49 Hey guys. Sid, Brian everybody, congratulations. So Brian question for you and go to market and engagement with the customers. How is it going, especially as you build out the enterprise sales force in terms of selling more top down as opposed to bottoms up to developers and are you starting to see that kind of standardization across the enterprise as you move up in terms of what you are selling?
Brian Robins: 34:15 Yes. Thanks Michael and appreciate the comments on the quarter. We've been a direct sales motion to the enterprise really since the company's inception. We just added some additional go to market motions over the last year, which are new, but are very -- the early results are very positive and that's channel alliances, partnerships and so forth. 34:40 And so, as you know our normal sales motion sort of is sort of you land relatively small and then expand within the client, but there are examples, such as UBS where we did wall to wall implementation in less than a year. And so we do land at the top some times as well. And so, we do both motions, but the one where you land in the division department, one hundred licenses at a time is probably the more normal motion for us.
Michael Turits: 35:12 And then Sid, if I could squeeze one in with you. I think many, many customers, I think your core -- you might want to think of as code repository FCM and CI, but can you talk a little bit, I know you talked about security, but talk a little bit more about expansion into the CD pipeline management side in that direction? And how you have been successful there?
Sid Sijbrandij: 35:33 Thanks for the question, Michael. We do land with source code management and testing code and that testing code is now also proper land. So it's not just source control, some customers uses exclusively for testing the code. From there, from those two land areas we expand in secure package and release. So we secure replacing solutions like checkmarks, like Synopsys, like BlackRock package would be replacing things like JFrog auto factory. When release we commonly replace custom scripts that the customer made before better are hard to maintain. Those are our expansion points and we're investing there and especially Secure has driven a lot of up tiering to Ultimate, because it's really important for customers to test one hundred percent of their projects one hundred percent of the time.
Michael Turits: 36:29 All right. Thanks, Sid. Thanks, Brian.
Sid Sijbrandij: 36:32 Thank you, Michael.
Operator: 36:33 And we'll take a question from Jason Ader.
Jason Ader: 36:36 Yeah, hi guys. My question is on the accelerants to growth in calendar twenty twenty two, fiscal twenty twenty three. If you have to talk through the kind of different accelerants whether it's adding more sales head count, more channel alliances or more product releases. How would you kind of think about those three elements, or maybe there are some other accelerants that I'm not thinking about?
Brian Robins: 37:03 Yes. Thanks, Jason. As I stated earlier, it's a forty billion dollars TAM barely penetrated and so there is a lot of different areas. One is, we're getting -- continue to do more product investment and so the more investment we do in product, the more differentiated and the driving the more positive business outcomes. Secondly is, we will land new logos. And so when we have new logo expansion, obviously we hit landed TAM. And then we can expand them and also up tier them. We're also investing in channel and alliances and then we're doing international expansion. And so there is a number of different areas that I think give us opportunity to continue to grow in this very enormous market.
Jason Ader: 37:49 And do you expect the average new ARR, Brian to continue to trend higher.
Brian Robins: 37:56 It has done that historically. I can't make a forward-looking statement. But historically, it has every quarter.
Jason Ader: 38:04 Thank you, guys.
Brian Robins: 38:05 Yes. I appreciate it Jason.
Operator: 38:10 And with that, I'll turn things back over to Sid for any additional or closing remarks.
Sid Sijbrandij: 38:17 Yeah, thanks so much. Those were some great questions. I thank you very much for joining this call. It's great to be able to announce our first earnings and I want to thank our investors, the wider community around GitLab contributing. Our team members, our users and our customers for the great quarter. Thank you very much.
Operator: 38:40 Ladies and gentlemen. Thanks again once more for joining us. Have a great day